Operator: Thank you for standing by. My name is Jay, and I will be your conference operator today. At this time, I would like to welcome everyone to the M-tron Earnings Call for the Third Quarter of 2025. [Operator Instructions] I would now like to turn the conference over to Linda Biles, EVP of Finance. You may begin.
Linda Biles: Good morning, everyone. Thank you for joining our 2025 M-tron Q3 earnings call. Please note that this call will be recorded, and we will make the recording available on our Investor Relations website, www.mtron.com shortly after the call. Yesterday afternoon, we released our earnings for the third fiscal quarter of 2025. Before getting underway, we are required to advise you that the following discussion should be taken in conjunction with our most recent financial statements and notes as contained within our 2024 10-K which was filed on March 27, 2025, with the SEC. This discussion may contain forward-looking statements within the meaning of 27A of the Securities Act of 1933 and Section 21E of the Securities and Exchange Act of 1934. These forward-looking statements contain known and unknown risks and uncertainties, which are detailed in our filings within the SEC. Although the company believes that the forward-looking statements are based upon reasonable assumptions regarding its business and future market conditions, there are no assurances that the company's actual results will not differ materially from any result expressed or implied by the company's forward-looking statements. The company undertakes no obligation to publicly update or revise any forward-looking statement, whether as the result of new information, future events or otherwise. Readers are cautioned that any forward-looking statements are not guarantees of future performance. With that, I will now turn the call over to our CEO, Cameron Pforr.
Cameron Pforr: Thank you, Linda. Good morning, everyone. Thank you for attending our third quarter FY 2025 earnings call. We are pleased to discuss our strong results for the first 9 months of the fiscal year and our outlook going forward. As a reminder, M-tron designs and manufactures highly engineered RF solutions, including electronic components and subassemblies used to control the frequency and timing of signals and electronic circuits. We're a global company with 3 manufacturing sites in the United States and in India. The company's primary markets include aerospace and defense, commercial avionics, space and industrials. We're pleased to report that the company continued to perform well with continued strength in M-tron Q3 sales and backlog. Our revenues continue to be driven by defense-related orders. However, we did see some growth this quarter in other areas as well. With consistent operating performance, we have been able to continue to make strategic investments in research and development and continue to improve the market profile of the company and prime to pump for future growth. Yesterday, we reported the following Q3 2025 results. The total revenues for the third quarter was $14.2 million, which was a 7.2% increase over the $13.2 million for the third quarter in 2024. This increase was primarily due to strong growth in avionics, space and industrial product shipments. Gross margins for the third quarter were 44.3% compared with the elevated 47.8% gross margins in Q3 2024. The decrease was primarily due to product mix and also higher tariff-related costs, which we've discussed in the past. Net income for the quarter was $1.8 million or $0.63 per diluted share compared with $2.3 million or $0.81 per diluted share for the 3 months ended September 30, 2024. This decrease was primarily due to a large reversal of a deferred tax asset called for by the tax law changes in The Big Beautiful Bill. That was almost $1 million of expense or a little bit more than $1 million expense plus the P&L, the lower gross margins from the year prior and also slightly higher OpEx expenses consistent with our growth. Adjusted EBITDA was $3.2 million for the 3 months ended September 30, 2025, compared with $3.3 million for the prior year's September quarter. The slight decrease was primarily due to lower gross margins and a relatively small investment in SG&A. Backlog ended as of September 30, 2025, was $58.8 million, which was an increase of 48% from the $39.8 million for September 30, 2024, and was a 24.5% increase from the end of year December 31, 2024 figure of $47.2 million. The increase in backlog from December reflects robust demand across aerospace and defense programs, new program launches and a recent surge in avionics and space orders. On October 23, 2025, the company announced that the dividend of warrants that granted in April 2025, achieved its early trigger condition and is exercisable through 5:00 p.m. on December 11, 2025. 5 warrants are exercisable to purchase 1 common share of stock. The strike price is $47.50 per share, and the warrants have an oversubscription feature, which allows warrant holders who have exercised all of their warrants to potentially seek and acquire additional warrants if the offering is undersubscribed. Warrant holders are encouraged to review the warrant agreement in the FAQ page on our Investor Relations website, which is ir.mtron.com. We continue to execute on our strategy of continuing and moving into more program business, which now makes up the vast majority of our aerospace and defense revenue. We are involved in over 40 programs of record, and many of these programs are sole-source programs where we stand to reap many benefits as defense spending in the areas we support continue to grow. Just to give you a little bit of flavor for that. This year, we've had some big wins in EW and radar systems. And that's an area where we expect to double our revenue next year just reflecting those wins and some of the programs moving to higher rates of production. In addition, we've been asked to provide plans to dramatically increase our precision guided munitions production for certain programs as well as a new UAV program, which we're very excited about. We continue to innovate, as evidenced by the high rate of revenue from newly designed products. To give you an example of some of this innovation, we and other vendors in this space produce compensated oscillators, which are used in airframes with a great amount of vibration. So usually a helicopter or fighter aircraft. This compensation is done to reduce the drift of the timer. Traditionally, they were externally compensated and a typical size or a unit like this or a module like this was 16 inches by 16 inches. We've developed an internally compensated oscillator, which is a little bit more than 2 inches by 2 inches and performs the same function, and we're seeing dramatic demand for this line of products. This type of innovation was really what keeps M-tron at the fore of the industry. I'd like to thank our dedicated customers for their continued business and partnership and our loyal employees for supporting the company and its mission of serving the nation and its capability to defend freedom. M-tron plays a critical role in the sense of our nation by providing U.S. sourced highly engineered components from any U.S. and allied military programs and having a U.S.-based advanced manufacturing capabilities to support our joint forces is more important than ever. And before I open the floor to questions, I wanted to mention that we will be presenting at the IDEAS conference next week in Dallas, Texas, at the Sidoti Year End Virtual Investor Conference later in December and at the Oppenheimer Conference in February of 2026. Information for these events will be posted on our investor website, and I hope that many of you can join us for some of those presentations and meetings. Operator, can you please open up the line now and allow our first question?
Operator: [Operator Instructions] Your first question comes from the line of Anja Soderstrom of Sidoti.
Anja Soderstrom: Congrats on the appointment, Cameron.
Cameron Pforr: Yes. Thank you, Anja.
Anja Soderstrom: You noted the increased spend on research and development. Is there a specific area you are increasing it within? And can you talk a little bit about what you're doing there?
Cameron Pforr: Yes. No, it's really bringing on board design engineers. We've been spending a lot of -- we're a filter and oscillator company, but every type of filter oscillator we build takes some different expertise levels of areas. So that's one area we're trying to hire. And this is really something that helps us drive the revenue because we're a very engineering-focused company, and our sales teams really get our engineers engaged very early with our customer prospects to work on a kind of a codeveloped solution. So it's really a hiring.
Anja Soderstrom: Okay. And then also, you mentioned industrials have started to pick up for you. What are your sort of main programs there within Industrial?
Cameron Pforr: Yes. I think the biggest area in the short term, that's an area that we've put in several markets. So test and measurement is one of the bigger ones, oil and gas, like downhole drilling, telecom also fits into that area. But what's been driving as recent was some test and measurement revenues.
Anja Soderstrom: Okay. And then you also mentioned the recent search in Avionics. How are you seeing that trending in the fourth quarter?
Cameron Pforr: Right. So I kind of mentioned on some earlier calls that we supply through several other primes, really all the Airbus and Boeing aircraft builds. And those are -- those companies have really started reengaging their backlogs are increasing really dramatically, and they're moving towards higher production rates. We did see orders from Boeing, for example, earlier in the year and maybe earlier than we expected, frankly, just kind of given the events there and the inventory we thought they had. And we did have a big order and a large contract for commercial aircraft earlier in the year, and we're starting to see orders against that contract.
Anja Soderstrom: Okay. And then lastly, we've been talking about tariffs before. But what can you do there to sort of combat that?
Cameron Pforr: Yes. That's a great question, and it's kind of an ever-moving target, as most of the people on the line probably figure now at this point in time. We really anticipate probably tariffs remaining in place for the next 3 years unless Supreme Court takes some action there. So maybe something we have to live at this point. It's costing us about 1% to 1.5% of revenue in terms of the impact on gross margins. There are a couple of things we're doing. So one is we're examining the materials that we order what has to be shipped into the country and what can be for certain parts we order can they be shipped directly with customers. So we are making some changes in that regard. We are actively working with our customers to enact a clause of the FAR, which allows us to get tariff relief for defense products that are specifically for U.S. forces that doesn't apply to shipments to other NATO countries. And we've also passed along some tariff charges, and we think that's fair and that's part of our contract. But we are, at this point in time, looking to incorporate tariff charges and much of our pricing for new orders. So that's just a reality.
Anja Soderstrom: Okay. And like when would that become effective then? How much longer are we going to have this headwind?
Cameron Pforr: Yes. No, we're -- on the FAR exemptions, that's really just starting to come into effect now just because the way the program is set up, you need to do it on the front end when you're ordering materials for a future shipment. And so for all inventory that we had in stock, we couldn't use that exemption. But for new orders we are putting that into effect. On pricing, that's something that we're having to factor into our pricing currently.
Operator: With no -- Next question comes from the line of Otto Haeg of Farnam Street.
Otto Haeg: Congrats on the appointment. A quick question on the Indiana Microelectronics partnership that you announced. Can you -- how the tunable products, if you will, and integrating their technology into or with MPTI, how do you see that working? What products are we talking about? Can you -- what can you tell us about that partnership?
Cameron Pforr: Yes. We're actually very excited about it. It's a company we've known for a long time, and we've been keen to work with them in the past. We're glad we've come to agreement about how to do it, how to support each other. They're a really great design team. They've won some very interesting contracts, primarily with the military but other areas as well. And one of the issues, I think, for them was really how do they scale their business. So we've really formed a partnership where we'll work with them on the sales and marketing of their designs. And then also working with them once we procure an order on the manufacturability of the product. So when we go to the market, we provide a quote for someone, our engineers working with their engineers to make sure that we're going to be delivering can be manufactured effectively. And they make a number of tunable filters. They're really kind of software tunable and the processes is not too difficult. So we spent time with their team, really understanding that. We think that's something we can stand up pretty quickly without a lot of CapEx on either party side. And we've already actually had some sales wins. So we're excited about where that can go.
Otto Haeg: Do you think this is something where these could turn into rather large orders over time, programs? Or is this going to be kind of smaller programs or smaller products, if you will, runs? Can you just elaborate on that a little bit?
Cameron Pforr: Yes. I mean we're obviously very early in the relationship, but we actually think it can grow into some fairly large contracts. They have already made great headway with several customers of their own that would like to scale production. And we think that just with the size of our manufacturer rep sales force, we'll find a lot of other opportunities to work together.
Otto Haeg: Excellent. One additional, if I can. Can you give us an update on Connectivity partners have -- it doesn't appear we've made any investments there? Or what's happening in terms of them raising capital? Any update on what's happening with Connectivity?
Cameron Pforr: Yes. There's no investment on M-tron's part to date. I do know that they've been meeting with companies and identifying like targets, and so they're trying to really build up a backlog of opportunities to grow their fundraising marketing and just prepped in terms of standing up the firm, but no current news in terms of how it impacts us.
Operator: With no further questions, that concludes our Q&A session. I'll now turn the conference back over to Mr. Pforr for closing remarks.
Cameron Pforr: Okay. Well, thank you all for joining, and I appreciate the questions, Anja and Otto. Wishing everyone on the call, a great day, and I appreciate your interest in the firm.
Operator: This concludes today's conference call. You may now disconnect.